Debra Crew: Good morning, everyone. Thank you for joining our Results Presentation for Fiscal '24. It was a challenging year for both our industry and Diageo as we navigated a volatile operating environment across the globe. It was a year of compounding impacts with inflation and a cautious consumer environment persisting following the extraordinary growth through COVID-19 and the related waves of value chain disruption. I believe these challenges are temporary and the consumer environment will recover over time. At Diageo, we are focused on what we can control. We've navigated volatility before, and we will do it again. And we manage this business with a long-term view. We will continue to invest in our fantastic portfolio of brands and diversified footprint to maintain our position as an industry leader in total beverage alcohol, which continues to be an attractive sector with a long runway for growth. We're focused on driving operational excellence with our amazing brands to ensure Diageo is resilient and well positioned to grow when the consumer environment recovers. Today, I will share the details of our fiscal '24 performance and the deliberate actions we are taking to improve our near-term execution. There are five actions I want to highlight. First, we have met our commitment announced at our interim results to improve the inventory position in LAC by the end of this fiscal. In addition, we have validated the robustness of our systems across all markets and are confident that inventories are at appropriate levels for the current consumer environment in our other four regions. Second, we are strengthening our consumer insights. By the end of this calendar year, we will have completed the rollout of our proprietary consumer choice framework across markets covering a significant portion of our net sales, deepening our understanding of consumer motivations and occasions. We are realigning our marketing organization into agile brand communities to quickly action against these insights to drive quality growth. Third, we are redeploying our resources to the best growth opportunities through our market growth framework. Fourth, we have stepped up our route to market across several key markets, including our most significant transformation in at least a decade in our U.S. Spirits organization, and I will discuss this in detail later. Finally, we delivered a record year of productivity savings from supply chain activities and marketing with more to come as we increasingly benefit from savings from our supply agility program. We've taken these actions while continuing to invest in the business for the long term. So following my prepared remarks, Lavanya will discuss our financial results in more detail. I will then discuss our outlook for fiscal '25 and address the medium term. And we'll close by reminding you of our strategic priorities that I believe will drive sustainable quality growth. After three years of extraordinary top line growth, growing at a 14.5% CAGR from fiscal '21 to fiscal '23, group organic net sales declined 0.6% in fiscal '24. The main driver was materially weaker performance in LAC, our Latin America and Caribbean region, which makes up 8% of Diageo's organic net sales. Organic net sales in our largest region, North America or NAM, also declined, reflecting a cautious consumer environment, compounded by the impact of lapping inventory replenishment in the prior year. Group organic volume declined by 3.5%, driven by LAC destocking, Africa beer and NAM. Because many of these impacts were supply chain related, these volume results do not reflect the underlying consumer dynamics nor the runway that we see for future growth. Lavanya will discuss this further. And despite the volatile operating environment across our regions throughout the year, we focused on operational excellence and delivered $700 million in productivity savings a record year of savings that drove gross margin improvement in the second half. Additionally, I am pleased that we delivered $2.6 billion in free cash flow driven by strong working capital management, while we continue to invest in future growth. We increased our recommended full year dividend by 5%, which reflects our continued confidence in the long-term potential of our business and our commitment to a progressive dividend policy. Moving on to market share, which is a critical metric in the current operating environment. You may recall that in the first half of fiscal '24, we held or grew share in 30% of our net sales in measured markets. We drove a material improvement in market share in the second half, which demonstrates the underlying consumer strength of our brands. Much of this improvement in the second half of fiscal '24 was driven by our U.S. TBA share performance. More on this shortly. In fiscal '24, we held or grew share in over 75% of net sales value in measured markets. I'm also pleased we're holding or gaining share in almost all of our measured billion-dollar brands globally. My goal is to continue to drive towards our 2030 6% TBA value share ambition. Moving on to regional performance. I'll start with brief highlights of the three of our five regions that grew organic net sales in fiscal '24, Europe, APAC and Africa before I cover LAC and NAM in more detail. Europe delivered resilient performance growth and its share gains in a challenging environment. Strong growth in Guinness was a key driver, which I will discuss in more detail later. In APAC, growth was driven by Chinese white spirits and strong performance in India with continued premiumization. Tequila also continues to gain momentum. In Africa, beer was the key driver of performance. Despite a tough macroeconomic backdrop, we benefited from price increases and delivered double-digit growth on Guinness and Malta Guinness. I often talk about the strength of our diverse geographical footprint. These regional highlights demonstrate the advantage of a business with a broad footprint, and it provides resilience, particularly in uncertain times. In LAC, since I last updated you in January, we have worked with our wholesaler and customer partners to manage inventories and ended fiscal '24 with levels more appropriate for the current consumer environment. We've also implemented the five key action areas we identified to expand inventory visibility in LAC. Our full year organic net sales in LAC declined 21.1% year-over-year in fiscal '24. In Brazil, our largest market in the region, the category improved in the second half of the year compared to the first half, and we gained market share. Inventory levels have dramatically reduced to more appropriate levels in Mexico, our second largest LAC market. However, this market continues to face persistent challenges with highly competitive environment and consumer down trading in tequila and Scotch. Consequently, we've initiated a comprehensive review of this market to return to share growth, and I will update you in due course. Going forward, we know the importance of staying vigilant and we continue to work diligently to keep improving our visibility into the distribution channels across LAC, with the aim to deliver better insights earlier. And I believe we have the necessary processes, data, leadership, incentives and sell-out culture across the region to more closely align future performance with consumer demand. Moving on to NAM. As mentioned earlier, in fiscal '24, we held U.S. share of TBA with improving consumption momentum and share gains in the second half of the fiscal year. However, this did not translate into shipment momentum. In the last year, we've discussed the challenging environment in the U.S. as we navigated through the post-COVID-19 normalization, and we lapped supply chain restocking. At the end of fiscal '24, we will have largely completed that lap. However, consumers remain cautious, with wallets under pressure and with higher interest rates, retailers remain cautious as well. Over the past 12 months, industry trends have been quite variable month-to-month and quarter-to-quarter. So I want to spend some time unpacking that for you. So let's start with consumer data in tracked channels using Nielsen/NABCA which represents approximately 40% of purchases in the U.S. And you can see on the industry chart on the far left. As inflation has persisted throughout the year and consumers faced 30-year high food basket prices, you can see how that has impacted the industry, which continued to deteriorate in the second half of fiscal '24. On the left-hand chart, the pink Diageo bars show how we picked up momentum in the last six months despite this cautious consumer environment, leading to our share improvements. The chart on the right breaks down Diageo's full year performance across the three-tier system. And you can note several dynamics here. First, while Diageo's consumer consumption growth in Nielsen/NABCA data was soft, our depletions and shipments were lower. Second, depletions have also lagged Nielsen/NABCA consumer purchases, particularly in the second half of the fiscal year. This was largely driven by retailer stock reductions, which we saw most prominently in West Coast retail chains. This retailer inventory adjustment is likely driven by persistently higher interest rates and retailers not wanting to anticipate recovery in this cautious consumer environment. At the end of fiscal '24, the difference in shipments and depletions has narrowed compared to fiscal '23. The difference in fiscal '24 was driven primarily by the impact of lapping tequila restocking and we expect these value chain dynamics to be temporary. And while we foresee this environment persisting into fiscal '25 to the extent that interest rates decline and the consumer environment recovers, we would expect shipments to more closely align to consumption. Importantly, as we manage this business for the long term, the underlying consumer trends remain the most critical movement to watch. Going forward, our focus in NAM remains on controlling what we can control, operational excellence against our priorities and gaining quality sustainable market share. In the second half of the fiscal, we picked up momentum with the consumer. In fact, we finished the year winning or maintaining U.S. TBA market share in brands covering 90% of our U.S. net sales. A few of our consumer highlights. In whiskey, our Crown Royal share performance improved significantly in the second half of fiscal '24, finishing the year holding share not only of TBA, but also of U.S. Spirits, driven by the launch of Crown Royal Blackberry. Early reads show one in five of those purchasing Blackberry are new to whiskey, consistent with our track record of sustainable expansion and recruitment into the Crown Royal trademark. In tequila, our portfolio again gained U.S. Spirit share driven by Don Julio, which increased momentum in the second half, growing 15 times faster than the total U.S. Spirits industry. The growth was led by Don Julio Reposado. We expanded our participation in the convenience occasion this year through strong innovation with our cocktail collection, outperforming the category, gaining 32 basis points. And finally, notably, Guinness has outperformed the industry and was the fastest-growing imported beer in the U.S. on trade in the last 12 months, bolstered by the newly launched Lovely Day campaign with longtime brand fan, Jason Momoa. But look, while we made good progress in driving share improvement, we also know we have more to do and opportunity left to fully leverage the power of our amazing diversified portfolio. Casamigos is one example. After four years of extraordinary growth with a CAGR of over 70% from fiscal '19 to fiscal '23, Casamigos' organic net sales declined 22% in fiscal '24. This decline was partly caused by the impact of lapping restocking following supply shortages as depletions were down half of that at minus 9%. In fiscal '25, we are fully integrating Casamigos into our dedicated, transformed distribution network. Casamigos has now reached a scale where it will benefit from the full power of Diageo's resources and we can take our tequila portfolio category leadership to the next level. This is important as the brand remains resilient in the on-premise where brands in this industry get built. On-premise momentum continues with volume up 5%. More feet on the street will no doubt help this effort. Speaking of our U.S. distributor network and our route to market, as we see changes in growth opportunities, we are optimizing our route to market across our footprint. As we discussed briefly at our capital markets event, I'm excited to share that in the U.S., where we have a track record of pioneering and shaping the route to market, we are making significant changes. Jointly with our two largest distributors in the U.S. we are investing to better align our teams and capabilities against what we believe will be the best growth opportunities for the next decade, by category and brand down to the zip code level. Specifically, we are leveraging our proprietary outlet and zip code level data to identify the highest future growth potential communities and channels for our biggest growth categories, bringing us closer to our consumers and customers at the local level. This includes scaling our people and locations to go after categories with high growth potential, such as whiskey and tequila, while increasing focus on our core brands. We're also building a new academy of beverage leadership to cultivate the next generation of industry expertise within our and our distributor partners’ teams. Finally, we have transformed our internal commercial organization to deliver unmatched execution and activations in stores, bars, stadiums and event spaces. I am confident this transformation strengthens our position as the largest U.S. spirit supplier and leader across key categories. And we are extending this commercial focus to the rest of Diageo, too. A few highlights. Last week, we announced that we will be bringing in-house the distribution of all our brands currently distributed by the joint venture Moet Hennessy Diageo in France. This follows our previous update in March 2024, where we outlined our phased approach to transforming our distribution model in France by creating our own in-market company. We are also expanding our organizational structure in Dubai to solidify our leadership in the premium spirits market in Middle East, North Africa. We have created a new asset-light model for the Guinness route to market in Nigeria by partnering with a local distribution specialist. This model works alongside our new West Africa spirits focused organization. Moving on to our largest category's performance, starting with the largest scotch. While our scotch organic net sales performance was heavily impacted by LAC inventory reductions, momentum with consumers continued in fiscal '24. We gained category share of scotch in 9 out of 10 of our largest measured scotch markets, including the U.S.; an improvement from the 7 out of 10 in the first half of the fiscal. Within the scotch category, we are seeing consumers being somewhat more choiceful, but still staying with an international aspirational brand. For example, in China, johnnie Walker in the last six months has seen better performance in Black Label, XR15 and 21 than in Blue Label. In India, our scotch portfolio provides consumers a breadth of price ladder offerings as they continue to premiumize from a lower base. Johnnie Walker led our share growth, driving over half of our scotch organic net sales. This iconic brand has a proven growth model that brings together luxury, innovation, amazing quality liquid and a clear mantra to keep walking that is executed at scale around the world and it's working. Johnnie Walker continues to be the number one international spirits brand in value in the calendar year 2023 as measured by IWSR. It recently won a prestigious Grand Prix Award at the Cannes Lions Festival for our campaign in Brazil. And in the on-trade, it is now the top trending top-selling scotch in the world's top 100 bars. Our focus for fiscal '25 is to continue to build on Johnnie Walker's success and share gains while building on our opportunity in single malts, where we are underdeveloped led by the Singleton as our number one priority Malt-brand. In tequila, the global rollout has continued at pace through fiscal '24. We drove almost 12% organic net sales growth in markets outside NAM and LAC leading to substantial market share gains across Europe, India, Africa and Global Travel. Don Julio was the number one selling tequila at London Heathrow throughout most of the last 12 months, and it's now in nearly 60 countries. Casamigos is in 30 countries with double-digit sales growth in Europe. Increased investment to these brands to support the global rollout is amplified by our excellent marketing and brand building at scale. For example, Don Julio at the Oscar's and Super Bowl, which if you haven't already seen the videos, I highly recommend. I also continue to be excited about the ongoing potential for tequila in the U.S. and across the rest of our footprint, because tequila remains the fastest-growing scale spirits category, and Diageo continues to maintain its global tequila leadership by value. Guinness delivered another year of very strong performance in fiscal '24. Plus 15% organic net sales growth, a testament to its continuing broad appeal. We held or grew share in our top three markets for Guinness, U.S., Great Britain and Ireland, and the momentum that we have with Guinness continues to recruit and expand our consumer base. In Great Britain, consumption among women rose by 27% from fiscal '22 to fiscal '23. One significant way we recruited more Guinness consumers in Great Britain was tapping into consumer passion for the brand, inviting them to partner with us to co-create content and shape the brand through our community-first marketing model. You can see an example of this in the social media on the slide. Looking ahead, we are expanding Guinness further through our global football partnership with the Premier League. We have a proven model for activating its scale with Guinness in sports through our successful Six Nations Rugby relationship and see a tremendous opportunity worldwide. We've also recently made significant commitments to ensure future supply. Our €100 million investment to decarbonize our historic St. James' Gate site, will accelerate progress toward our Net Zero carbon goals and transform energy and water consumption with the aim of making the site one of the most efficient breweries in the world by 2030. In addition, Guinness 0.0 doubled in net sales in fiscal '24 in Europe, with GB and Ireland accounting for around 70% of Guinness 0.0 global sales. We are investing to increase our capacity to supply Guinness 0.0 in response to the consumer trends of moderation and duality. Consumers who want to drink less and consumers who want to drink alcohol in some occasions, but choose not to on others. In fiscal '24, I set up a review of our ESG strategy. And as a result, we have simplified and prioritized the goals that form our spirit of progress plan. This has allowed us to prioritize the areas that are most material to the business, including reducing the harmful use of alcohol combating water stress and the impact of climate change. This means we will be accelerating our work advocating for responsible alcohol consumption and water replenishment activities in the communities in which we operate. These are not only the right things to do for our people, consumers and communities but also critical for our business. With this simplified and prioritized focus, we are partnering with governments and institutions in key geographies on our decarbonization journey and have secured significant direct government funding to progress this. In the U.S., for example, the Department of Energy selected Diageo for a grant to support the installation of heat batteries and solar energy generation at two of our sites. The goal is to build a model that can be replicated across our supply operations in the U.S. and make our business more efficient, resilient and sustainable for the future. I'll now hand over to Lavanya, who will go over financials in more detail before I return to discuss our outlook.
Lavanya Chandrashekar: Thank you, Debra, and good morning, everyone. In fiscal '24, organic net sales were down 0.6%, with positive price mix performance, mostly mitigating a decline in volume. Excluding LAC, the business grew organic net sales by 1.8%. Organic operating margin declined by 130 basis points, primarily driven by LAC. Excluding LAC, organic operating margin was down 56 basis points, driven mostly by investments in digital capabilities, and as Debra mentioned, in further strengthening our route-to-market capabilities primarily in the U.S. We generated free cash flow of $2.6 billion, which was around $400 million more than a year ago. Strong working capital management and lower tax payments more than offset the combined impact of the decline in operating profit, higher interest payments and increased investment in CapEx. Pre-exceptional earnings per share declined mainly due to a lower operating profit and higher finance charges and exceptional items. This was partially offset by lower tax and the impact of share buybacks. We believe our growth algorithm continues to support sustainable long-term growth. Our focus continues to be on driving growth through winning quality market share. We continue to premiumize our portfolio and benefit from improved price mix and drive productivity, all of which enables us to continue to invest smartly back into the business. Price mix contributed 2.9 percentage points to top line growth. Price contribution to organic net sales growth was in the low single digits. Organic volume was down 3.5%, driven primarily by more than a 15% decline of volumes in LAC. More on that shortly. We accelerated productivity initiatives across cost of goods, marketing and overheads in fiscal '24. This enabled us to unlock almost $700 million of productivity cost savings in the fiscal and comfortably exceed our three-year $1.5 billion productivity savings target. Marketing productivity and smart investment choices allowed us to invest A&P on key growth opportunities and hold our overall A&P investment levels flat for the year. In line with the market growth framework, we increased A&P investment in Guinness across all regions. Tequila as a part of our global rollout and in North America, in Chinese white spirits, in India and on Johnnie Walker in most regions. Now to look further at volume. Our volume declined by 8.3 million equivalent units in fiscal '24. The decline was driven by specific challenges in LAC, North America and in Africa with otherwise stable volume in rest of world. Almost half of the volume decrease is related to the actions taken to normalize inventory levels more appropriate for the consumer environment in LAC. In North America, volume declined by 2.3 million equivalent units. The volume decline was mainly driven by the cautious consumer environment in the U.S. with the rest from retailer destocking and lapping the supply chain normalization in the prior year. These headwinds more than offset the gains from improving market share performance over recent months. And as you can see, price mix has returned to pre-COVID-19 levels. In Africa, in light of significant devaluation we protected margins with strategic price increases. The volume decline here was a result of these pricing actions. In Europe, just over 75% of the volume decline was due to the lapping of final sale of inventories in Russia. Excluding this, Europe volume was marginally down versus last year due to softness in spirits. APAC volume grew with strong growth in India and Chinese white spirits, partially offset by Southeast Asia and Australia. All of this gives us confidence that volume will recover when the consumer environment improves. I'll go into more details on the drivers of price mix shortly. And now looking at our results at a category level. Our beer business delivered 14% organic net sales growth, with 5% volume growth. Our organic net sales growth was primarily driven by continued momentum in Guinness, which grew 15% and strong double-digit growth in Malta and Senator in Africa. Chinese white spirits organic net sales grew 27%, lapping a 14% decline due to COVID-19 restrictions in the prior year. Other whiskey delivered strong organic net sales growth, fueled by Bulleit, McDonald's No.1 Royal Challenge and the successful launch of Buchanan's Pineapple in North America. Our scotch and tequila performance was significantly impacted by the weak performance in LAC. Scotch organic net sales growth was also negatively impacted by North America and the lapping of the final sale of inventories in Russia in fiscal '23. Scotch grew 11% in India with strong growth of Black & White and Johnnie Walker. Tequila organic net sales were down 7%, driven by LAC and the lapping of inventory replenishment in North America partially offset by the benefit from the global rollout of the category. We are confident that premiumization continues to be a tailwind for the spirits category, although this may not be immediately apparent from Diageo's numbers, as our super premium plus price tiers showed weaker performance in fiscal '24. I'll touch on this shortly. The breadth of price points across our portfolio provides resilience and the ability to capture consumer demand despite these economic pressures. With the exception of Super Premium Plus, each of our price tiers grew organic net sales in fiscal '24. The value tier saw particularly high growth driven by the strong performance of beer in Africa and other whiskey in India. The premium tier growth was impacted by LAC. Excluding LAC, this tier grew 3.7%. We can see that the decline in Super Premium Plus was also driven predominantly by LAC and by North America. The NAM decline in shipments reflects the impact of lapping the replenishment of U.S. spirits inventory levels in fiscal '23. However, when we look at the consumer purchasing data, as shown on the right, we can see that consumption of super premium spirits is ahead of Diageo shipments in the U.S. Nielsen and NABCA data shows that more than 100% of core spirits category growth in the industry came from Super Premium Plus spirits in the fiscal. In Rest of World, our super premium plus organic net sales growth was 2.9%, reinforcing the continuing premiumization in other markets. We continue to strengthen our revenue growth management capabilities, which are key in driving sustainable growth across volume, price and mix. We made surgical smart price increases supported by choiceful A&P investments across brands. Let me share two examples of this. In Great Britain, we increased our marketing investment for Guinness by 14%, smartly managed pricing corridors and drove volume growth of 18%. In Southern Europe, Johnnie Walker volume increased by 5%, whilst organic net sales grew by 7%. Importantly, in each of these examples, we drove RGM while also gaining share for these brands. With our culture of everyday efficiency, we have delivered strong productivity benefits year after year. Fiscal '24 was the third consecutive year when productivity and price combined offset the absolute impact of cost of goods inflation. In fiscal '24, we delivered productivity savings of $695 million across cost of goods, marketing and overhead spend buckets. The productivity on cost of goods was across the end-to-end supply chain. We renegotiated contracts on key materials such as glass, labels and grain neutral spirits and drove savings in logistics by renegotiating key ocean freight contracts. Across our manufacturing sites, we reduced waste and drove savings via labor optimization and automation. In addition, we started to see the benefits from our five-year supply chain agility program announced at the end of fiscal '22. Marketing and overheads also drove a material contribution to productivity. Over the three-year period of fiscal '22 to fiscal '24, we delivered $1.7 billion of productivity savings, exceeding our target of $1.5 billion. Looking ahead, we have committed to significantly step up our productivity target to $2 billion over the next three years, fiscal '25 through fiscal '27. This will be enabled by the acceleration in annual savings across COGS, marketing and overheads and from our supply chain agility program. Organic operating margin declined year-on-year by 130 basis points, predominantly driven by LAC. LAC operating margin declined significantly, driven by negative mix, increased trade investment and lower operating leverage. Excluding LAC, operating margin was down by 56 basis points, reflecting continued investment in the business through overheads and A&P partially offset by positive gross margin. Gross margin was up 17 basis points with benefits from productivity and price offsetting the impact of cost of goods inflation. Cost of goods inflation moderated from the double-digit inflation we saw in fiscal '23, but persisted in the high single digits for fiscal '24. Price was a positive contributor to margins but significantly less than in prior years. Recollect, we drove high single-digit price increases in fiscal '23. In fiscal '24, prior contribution to net sales was in the low single digits. Our robust gross margin performance was mostly driven by supply productivity. As I indicated in our interim results, our A&P reinvestment rate moderated as we lapped the prior year's increase, and delivered marketing spend efficiencies, especially in the U.S. through the second half. We use a disciplined approach to deploy A&P investment to target opportunities for long-term sustainable growth and strong ROI. Through fiscal '24, we focused investments on tequila, both in the U.S. and globally and on Guinness, Chinese white spirits and India. We continue to be disciplined in our approach to managing overheads. Even in a tough year, we are committed to invest for long-term sustainable growth. In fiscal '24, our investments have included investing in our strategic capabilities, including digital and strengthening our route to market primarily in the U.S. Basic earnings per share before exceptional items declined 8.6% from $1.965 to $1.796 primarily driven by weaker operating profit performance compared to fiscal '23, partially offset by a lower tax charge. Higher interest charges also negatively impacted EPS. Current higher interest rates impact our overall effective interest rate in two ways. First, they directly impact our floating debt portfolio. Second, interest rates on new debt issuances are higher relative to the maturing debt they replaced, which was issued at lower historical rates. Free cash flow increased despite lower operating profits and higher interest payments. This growth was primarily driven by our strong working capital management, almost entirely driven by inventory reductions. In recent years, we increased inventory by over 20% to navigate COVID-19-related supply disruptions. Through fiscal '24, we actively reduced this back to fiscal '19 levels. The improvement was enabled by recently implemented data analytics solutions and improved stock management processes. We also benefited from lapping one-off tax payments made in fiscal '23. And remember, we continue to invest in maturing stock and CapEx to support future business growth. CapEx spend increased in line with our long-term reinvestment strategy and in line with guidance for the year. Moving on to foreign exchange. The impact of foreign exchange movements was slightly negative on operating profit and significantly more adverse on net sales. Translation exchange negatively impacted both net sales and operating profit. The exchange loss was driven by emerging market currencies, mainly the Nigerian naira, the Turkish lira and the Kenyan shilling, partially offset by gains on the British pound and the euro. The transaction benefit was mostly due to favorable hedged rates on the British pound and the Mexican peso, mostly offset by the Nigerian naira. We hedge our transactional foreign exchange on a rolling basis for our major currency exposures. This strategy results in foreign exchange rates that reflect the average of our hedging positions built over time. In our interim results, we shared a view on the potential full year foreign exchange impact for fiscal '24 based on hedged rates and other exposures. Assuming the spot rates on December 31, 2023, exchange rate changes of the Nigerian naira, the Turkish lira and the Ghanaian cedi drove the difference from our expectations in our interim results to the fiscal year close. We completed the fiscal year with our leverage ratio at 3 times, in line with our target range of 2.5 to 3 times, reflecting higher debt, lower year-on-year profit and strong working capital management. Our net finance charges increased by $173 million year-on-year, reflecting the higher interest rate environment. Our effective interest rate at 4.3% is in line with the guidance we shared in January. Looking ahead to fiscal '25, I expect our effective interest rate to be broadly flat year-on-year, given current market conditions. We remain committed to our target leverage range. And I am conscious that we have reported our leverage ratio at the top of the range. We will make the right decisions to support the long-term growth of the business aligned to our long-standing track record of maintaining our disciplined approach to capital allocation and our target leverage range. So our consistent and disciplined approach to capital allocation is unchanged. I just talked about how we manage our balance sheet, guided by our leverage ratio policy. And we will always make decisions to support the long-term growth of the business. Our first priority is to invest in sustainable organic growth through CapEx, marketing spend, overhead, supporting strategic initiatives and investment in maturing stock. Next, we have a progressive dividend policy, and we have increased our dividend for 25 years. Today, we announced a recommended final dividend of $0.6298 cents per share. This is a 5% increase on our final dividend in fiscal '23 recast to U.S. dollars. Our dividend cover at 1.7 times is slightly below the lower end of our target range of 1.8 to 2.2 times, but our dividend payment reflects the confidence we have in our business. Finally, when we have excess cash, and the main metric that guides us here is the leverage ratio. We will return it to shareholders as you have seen us do consistently over the past years. Our disciplined and strategic portfolio management will continue to be an integral part of our capital allocation strategy. In the past two years, we have acquired fast-growing brands such as Don Papa Rum, Balcones Distilling and Mr. Black and acquired the full ownership interest in DeLeon, and the repatriation of Gordon's license in South Africa. Importantly, we have been disciplined and moved at pace to dispose off brands that did not fit within our portfolio, and we have restructured our presence in Cameroon and announced a similar transaction in Nigeria, to move to a flexible asset-light beer operating model. We expect this will improve the profitability of our business while accelerating the growth of Guinness in these markets. Additionally, we have recently announced the disposal of Pampero and Safari, which we expect to complete early in fiscal '25. We believe this disciplined portfolio management will help us to accelerate growth and increased focus to drive operational excellence. Before I hand back over to Debra, I would like to thank all my colleagues for making Diageo the best place to work and celebrate life every day. I have every confidence that Debra and the team will achieve our ambition of Diageo being the most respected and best-performing consumer products company in the world.
Debra Crew : Thank you, Lavanya, for your kind words. Before I conclude, I will discuss our outlook. The consumer environment continues to be challenging with conditions we saw towards the end of fiscal '24 persisting into fiscal '25. Consumers remain cautious and interest rates are high. Therefore, retailers are likely to remain cautious, too. We expect the negative pressure on organic operating margin that we saw in the second half of fiscal '24 to persist into fiscal '25. That said, we will focus on strengthening the resilience of our business and winning with the consumer. We are focused on driving productivity and mitigating cost inflation while investing smartly in strategic initiatives that drive long-term sustainable growth. And we are confident that when the consumer environment improves, the actions we are taking will return us to growth. As for medium-term expectations, recall that after three years of extraordinary top line growth with 14.5% CAGR from fiscal '21 to fiscal '23, Diageo and our industry are experiencing a period of normalization following the COVID-19 super cycle. And we also continue to feel the impact of macroeconomic challenges, geopolitical uncertainty and a cautious consumer environment, the consumer-facing companies are navigating. But we remain confident in the long-term fundamentals of TBA and our position within it. We believe demographic trends, rising incomes in the developing world, spirits gaining share from beer and wine and long-term premiumization will drive attractive underlying growth in our industry. Diageo has an advantaged portfolio across categories, price points and regions, and we continue to be confident in our ability to grow ahead of TBA and gain quality market share, enabled by superior operating excellence and disciplined investment. We are confident that when the consumer environment improves, the actions we are taking will return us to growth. And we are focused on getting back into our medium-term guidance range for organic net sales growth. And we expect organic operating profit growth broadly in line with organic net sales growth as we continue to invest in the business. Longer term, we expect to deliver organic operating profit growth ahead of organic net sales growth. Finally, I will end by summarizing our growth ambition that we previewed at our capital markets event in November. Our growth ambition is to build towards the next decade of sustainable growth by achieving quality TBA share of 6% by 2030. Our strategy to unleash the power of our brands and portfolio includes: Sustaining the momentum in our global brands of Guinness, Johnnie Walker and Don Julio while driving regional growth opportunities like Crown Royal and NAM and accelerating malts in APAC. Leading and shaping key consumer trends including tapping into the convenience moderation and with food occasions with pipeline of innovation launches planned across multiple markets to recruit new consumers into new occasions at scale. And finally, continuing to focus on operational excellence. In addition to the route-to-market improvements I discussed earlier, we are evolving our approach to A&P efficiency to maximize consumer-facing dollars, while driving accelerated productivity and allocating resources with discipline. I remain excited about our opportunities for fiscal '25 and beyond because I believe at Diageo we have the best portfolio in our industry, the most diverse geographic footprint and the insights and tools we need and the very best team set up to outperform over the next decade. I would like to take this opportunity to thank my 30,000 Diageo colleagues for their hard work and dedication. Thank you. I also want to say a few words as this will be Lavanya's last results presentation. I am grateful to Lavanya for her leadership over the last six years and her contribution as Diageo successfully expanded our business through a global pandemic and delivered major productivity savings. I want to thank her for being a trusted colleague and partner to me, both when we work together in North America and more recently as I took on the role of CEO. Lavanya's seen us through fiscal year in '24, while ensuring a seamless transition to our incoming CFO, Nick Jhangiani on the September 1. On behalf of all Diageo colleagues, I wish her much future success as she returns to the U.S. I also want to take this opportunity to welcome Nick into the Diageo family. Thank you.
Q - :